Operator: Good morning. My name is Kimberly and I will be your conference operator today. At this time I would like to welcome everyone to the GrafTech Second Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the conference over to Ms. Kelly Taylor. Ms. Taylor, please go ahead.
Kelly Taylor: Thank you, Kimberly. Good morning and welcome to GrafTech International’s second quarter conference call. On the call today is GrafTech’s Chief Executive Officer, Joel Hawthorne and our Chief Financial Officer, Erick Asmussen. We issued our preliminary earnings release this morning. If you did not receive a copy, please contact Marie Noar at 216-676-2160 and she’ll be happy to fax or e-mail a copy to you. As a reminder, some of the matters discussed during this call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Please note the results of preliminary and are subject to change. Final results will be included in our quarterly report on Form 10-Q to be filed with the SEC. Please also note the cautionary language about our forward-looking statements contained in our press release that same language applies to this call. Also, to the extent that we discuss any non-GAAP financial measures, you will find reconciliations in our press release that is posted on our website at www.graftech.com in the Investor Relations section. In particular, on this call, we will be discussing for the periods reported the non-GAAP financial items of EBITDA and adjusted operating income. For your reference, a replay of the call will be available on our website. At this time I would like to turn the call over to Joel.
Joel Hawthorne: Thanks Kelly. Good morning everyone and thank you for joining the GrafTech’s call today. First, let me set the tone for today’s call. Like you, I’m and our Board is disappointed with results this quarter and the impairment of assets in our engineered solutions segment. I’m working closely with our Board to review all aspects of the GrafTech’s business structure and resource requirements going forward. I have a very engaged board and I will leverage the Board’s expertise for insight in each business area to restore GrafTech back to profitability. As detailed in our press release this morning, GrafTech recorded a preliminary noncash impairment charge of 126 million in its engineered solutions segment. The impairment is a write-down along with assets in our advanced graphite materials business. With recent deterioration of the current and future market outlook for profitability related to production of graphite related products that are primarily servicing the solar industry also with the migration of the solar supply chain to a very competitive China market, this causes to re-evaluate the business. That re-evaluation resulted in the impairment that was announced today. We are extremely disappointed with this development but with the impairment it was required. Factors that led to this included continued on favorable market pricing and supply dynamics for isomolded products, recent capacity expansions by established producers and new entrance in China that have added to an oversupplied market. And lastly, the migration of the solar value chain including poly-silicon, silicon, and silicon vapor production to China. The combination for those above factors led us to the conclusion that pricing will not return to the previously expected levels in the solar supply chain and have an impact on the broader isomolded market. The impairment is based on the value of the AGM business as a whole compared to the current carrying value of the AGM total asset group. Additionally, as part of this review of engineer solutions AGM business unit, we identified that we could improve efficiencies and operate more effectively by leveraging supply chain relationships to serve certain markets more effectively. As a result, we will discontinue isomolded graphite production. Total sales of isomolded product accounted for approximately 3 million of AGM sales in 2013 and year-to-date sales were approximately $1.5 million. We expect this decision to resolve and a total charge of approximately $24 million of which $7 million is expected to be cash. There was an $11 million charge included in Q2 results. This decision will impact product line production at facilities in Clarksburg, West Virginia, Colombia, Tennessee, and Emporium, Pennsylvania. And will impact a total of approximately 75 teammates here at GrafTech. When we began increasing our investment in isomold in 2009, the market conditions were significantly different than what we face now and what we anticipate in the future. We had anticipated that the iso-market fundamentals remain solid and attractive returns on the investment. However, given recent developments including the rapid price erosion, and a glut of supply chain over capacity and the solar supply chain moving to China we have concluded that it’s more economical for us to discontinue our investment and work with existing suppliers to be more effective to service our end-customers. Our total investment in isomolded was approximately $70 million. The majority of these assets will be redeployed for future use and other product lines. We are confident that the initiatives we are announcing today will help us further reposition the company to drive profitable and sustainable growth. We are sharpening our commercial focus in the ES by targeting the higher growth, higher margin product lines and leveraging supply chain and collaborative relationships to optimize our goal to market strategy. We expect to generate approximately $18 million in ongoing annual savings associated with the engineer's solutions product line rationalization. Cash savings are expected to be approximately $8 million. The impact of this initiative and $75 million annual savings on the IM side which is generated or which is largely completed, will generate accumulative savings over $90 million on an annual basis when fully recognized. Also, in conjunction with the changes we are making to the ES business, we are also re-evaluating all aspects of our business for additional cost savings opportunities. We expect to complete this assessment over the next quarter. Anticipated actions under consideration include a combination of layoffs, attrition, early retirement, reduced contractor cost, and other cost savings initiated designed to generate cost savings by simplifying work processes and drive greater accountability in the organization. While it is always difficult to make decisions that impact our teammates, these actions are designed to make GrafTech a more competitive global company and its better position drive growth and innovation and respond more quickly to customer demands. Now let me turn to Q2 results. Total company sales were $284 million, down 6% versus Q2, 2013. Earnings were loss of $160 million largely as a result of special charges associated with the impairment and ES rationalization initiatives. Excluding these onetime charges, earnings were a loss of $6 million or $0.05 per share. EBITDA came in at $28 million lower than expected, largely due to higher cost in the launch of new product for consumer electronic and the under performance of our AGM business both in our engineer solution segment. Operating cash flow for the quarter was $34 million which included $9 million of rationalization and related cash cost. Our team has made solid progress in reducing working capital requirements and improving operating cash flow, operating cash flow in the first half of 2014 was $56 million, an improvement of $44 million year-over-year. We expect to continue to reduce net debt levels as we move throughout the year and further decrease working capital requirements. Already and was positive $9 million for the quarter in the first half of the year as we focus to continue de-lever our balance sheet and drive credit matrix next year to under 3 times debt to EBITDA. In our industrial material segment, sales decline 11% to $207 million in the second quarter compared to the prior year quarter mainly due to lower realized graphite electrode pricing as previously anticipated. Weaker needle coke sales volume and price also contributed to the revenue decline. Adjusted operating income for this segment was approximately breakeven largely due to lower graphite selling prices as I mentioned compared to the prior year and the higher cost associated with the regularly scheduled five year maintenance at Seadrift in the second quarter. During the 2014 second quarter, the five year plan maintenance at Seadrift was completed on time and under budget. However, after commencing operations, Seadrift experienced an unplanned outage in July. This lasted approximately three weeks. This were result in minimal disruptions to our customer orders due to the current inventory position but will negatively impact our cost in the third quarter of 2014 of approximately 3 million. We have essentially completed building our 2014 graphite electrode order book. We continue expect 200 graphite electrode and needle coke facility, a close to full capacity, in the second half. As discussed previously, the global graphite electrode market remains challenging and has resulted in a weaker pricing outlook for 2014 compared to 2013. We estimated 2014 electrode prices to be down approximately 10% year-over-year at the high end of our previous guidance range of 8% to 10%. But we see the pricing has stabilized in the second half of the year. Our previously announced rationalization initiatives industrial material is essentially complete and we will significantly improve GrafTech's competitiveness by reducing the cost and increasing the operating efficiencies. That will position us well to capitalize on the gradual recovery we are seeing in global steel demand. These industrial materials initiatives are expected to generate $75 million annual savings and we expect to recognize approximately half of these or $35 million savings in the second-half of the year. Additionally, as part of this initiative, our focus remains to significantly reduce industrial material working capital primarily inventory. Our target of $90 million 2014 and additional $60 million in 2015 and we are on track. Turing to engineer solution segment, sales in the second quarter increased from 11% to $78 million compared to prior year period. New product sales in the fast growing market included advance consumer electronics, high temperature furnace systems, drove the increase in revenue. Adjusted operating income for this segment was $6 million lower than expected as higher cost associated with the new product launch in our advanced consumer electronic product line weight on profitability. Also, weighing in was the underperformance of our AGM business. Why I am pleased with the 20% engineer solution revenue growth in the first half of the year, we have now looking forward, we expect to see weaker consumer electronic product launches and temporary delay in our high temperature furnace customer orders. This will drive lower sales in the third quarter resulting in the lowering of 2014 revenue growth expectation and related operating margins. For the full year, the company expects segment revenue to increase only 5% to 10% and operating income margins to be in the range of 8% to 10%. Looking at our balance sheet, our financial position remains strong. As I mentioned earlier, our focus is driving free cash flow. We have reduced our net debt by over $60 million in the past 12 months; our debt to capital ratio at the end of Q2 was 32%. Our debt to EBITDA is 4.3 times and we are driving to improve this to below 4 times by the end of the year and have targeted three times in 2015. In addition, we have approximately $300 million available on our revolving credit facility which was to refinancing in Q2 do not mature until April of 2019. Let me now turn to out-looking guidance. According to World sales Association 2014 global steel production increased 2% excluding China to the end of June in 2014. For the same period, the European Union in the Middle East countries continue to recover with year-over-year steel production growth rate of 4% and 9% respectively. Here in North America, steel production and operating rates continue to show improvement as well. Graphite global steel customers remain cautiously optimistic as trends indicate stable to improving conditions for remainder of this year. Our industrial material business continue to see volume recovery, we expect to operate our graphite electrode facilities and needle coke facilities a full capacity in the second half of the year as I mentioned earlier. Our engineer solution segment will continue to execute on plan. However, the timing of product launches and customer orders that were expected were unfavorably impact us in margins in the third quarter. GrafTech’s target 2014 EBITDA is now expected to be in the range of $135 million to $150 million. a reduction in the company's prior estimate that reflects the following three key changes; approximately $13 million is due to changes in engineer solutions revenue and profit expectations for 2014, approximately $7 million is due to electrode graphite electrode pricing declining to the higher end of our previous forecasted range and lastly approximately $3 million of cost associated with the unplanned outage at Seadrift during July here recently. The company target third quarter EBITDA between the range of $30 million to $40 million. The implied increase in the fourth quarter EBITDA to $45 million to $50 million is expected to be largely driven by the recovery of engineer solution sales, normalize operations at Seadrift and the benefit of the companywide rationalization initiatives. In conclusion, Q2 was a challenging quarter, no doubt. We are extremely disappointed with the results and are taking aggressive actions to counter the difficult market environment and a better allocate capital to deliver value to the shareholders. We continue to believe that GrafTech is positioned as one of the best carbon and graphite material science companies in the world and we are committed to improving performance in the short term as well as the long term. My focus right now, with the engagement insight of our board, will need to deliver 75 million of the iron rationalization cost saving and 150 million on working capital reductions, to implement the new ES rationalization objectives as outlined today to achieve the 80 million in annual savings. Study and re-evaluate all aspects of the business for additional cost saving opportunities to drive these cost savings for simplification and greater accountability within the organization. Lastly, to continue to meaningfully deleverage our balance sheet in the near term. That concludes my prepared remarks. And Kimberley, I would now like to open the call up to any questions.
Operator: (Operator Instructions) And you first question is from the line of Luke Folta with Jefferies.
Joel Hawthorne: Hey Luke?
Luke Folta – Jefferies: Good morning Joel. First question is to tighten up the model a bit. Are you able to give us some sense of where shipments or utilization was in the second quarter? I am mainly trying to get a sense of how much we should expect volumes to improve into the second half from the second quarter run rate?
Joel Hawthorne: Yes. Utilize graphite electrodes or needle coke?
Luke Folta – Jefferies: Well both, yes.
Joel Hawthorne: Again, if we look at graphite electrodes Q2, we are running just below 90% utilization. And as I said in the second half, we should be running at toward to closure to the full operation levels in second half of the year based on that 195 that we have announced to full capacity utilization. For needle coke, obviously we had the outage in Q2 which obviously took capacity out for the majority of the quarter and so the utilization was quite low as during the five year maintenance outage. So you will see that term when you go into the third quarter, it will ramp back up full capacity net of this three week outage we had in July it will ramp back up the full capacity for the rest of the year. It should also be running again between that 95% plus utilization to 100%.
Luke Folta – Jefferies: Okay and then at full capacity you are selling 70% of that your electrode operations internally?
Joel Hawthorne: Yes. It’s about right. We are about 70% -75% internal consumption and third party sales are the difference. Depending where we are, it's been the last quarter.
Luke Folta – Jefferies: Okay. Alright, then also I just wanted to see so we understand that there you announced the price increase this past just a couple of weeks ago and you announced the price increase, it sounds somewhere in the neighborhood by about 10% or so. I just wanted to confirm that that's the case then understand is that more or less just the cover spot orders through the end of the year or is that something we should think about into ’15?
Joel Hawthorne: Luke, you have nailed it. That was increases for spot orders during in the second half of the year. As I mentioned, our order book was running full. So we went to the market for a second half pricing for the spot market orders. Obviously we will look at when we get into as we normally do September reassessing the market conditions and look ahead to 2015 to decide where we want to set the beginning from our standpoint the order book bidding for 2015.
Luke Folta – Jefferies: Okay and given your order book being mostly complete, I mean should we not think about a major impact from this price increase in second half ’14?
Joel Hawthorne: Correct. Yes. Very little impact since we are completed our order book.
Luke Folta – Jefferies: Right. Okay. And then just, on the potential for additional restructuring beyond what you have already announced, are the actions that you are expecting to take or considering taking, is that something that we should think about potentially impacting capacity anywhere or is this just more function of reducing cost in the current (inaudible) that you have in ES and IM.
Joel Hawthorne: Yes. Just the function of reducing cost. One of our objectives as we look at the current market and future market is getting our cost structure to compete in this environment. So when you think about what we will be looking at is, again looking at our cost structure both IM and ES the corporate needs to support that and driving us to profitability at these current levels. Then obviously if we do that, that's our objective then when there market return which they will that will obviously help us through.
Luke Folta – Jefferies: Okay. [Technical Difficulty].
Operator: And your next question is from the line of Michael Gambardella with JPMorgan.
Michael Gambardella – JPMorgan: Good morning Joel. How are you?
Joel Hawthorne: Good Mike, how are you doing?
Michael Gambardella – JPMorgan: Good, good. Just on the electrode pricing, I mean it seems like, I have been covering the company since it was called UCAR many years ago and it seems like this whole pricing structure that the industry has is (inaudible) and I can't remember the last time at this point of the year where you and SGL didn’t come out with the some big price increase and it’s basically meaningless because it doesn’t impact the rest of the year because you are usually booked already and why do this, I don’t understand it, it is a just you are throwing a price increase out there announcement just start negotiations but it seems like every year, it’s kind of putting out this price increase that’s not going to effect the rest of the year, so why bother?
Joel Hawthorne: Yes, Mike. Let me give you and again as I mentioned earlier we are sold out for back half of the year, so what we are trying to look at where are causes, what’s the market demand, supply demand is, what can be the level of pricing gone forward, analyzing that and again making determination of what we think the appropriate price level is to get an effective return obviously for graphite electrodes. Obviously supply demand has an impact on that and again we are watching supply demand across the globe beside ours and there has been rationalization taking place. So again the reason we do it obviously second half to our which is not materialized I just mentioned to Luke through our spot orders we see that we capture the high value of spot orders but they are minimum. And again our objective is, again trying to gauge what the market is going forward, with that said as I said earlier; our mission now is to look at what is the cost structure of the company and even at these levels can we get the cost at the appropriate levels, at the current pricing levels. The market also I mean Mike as you know and you said in the past, the market ultimately takes care of itself and pricing becomes what the market will determine throughout the bid season. So our objective is obviously by the announcement what you think based on current market conditions but more importantly us looking at how do we get our cost obviously support with the market level pricing to look like either short term or in the future.
Michael Gambardella – JPMorgan: With your pricing guidance, you lowered your profit guidance down, you said by $7 million for electrode pricing, we are half way through the year. So it’s about $14 million annualized hit, I thought a lot of your business was kind of locked in fixed price annual business by this point, are you seeing some of those customers that had locked in business at a fixed price earlier in the year kind of demanding at price reduction now for the rest of the year?
Joel Hawthorne: No. Anyway, it was on the books, when we talked before and you are right, we were about 90% of the order book was completed, it was the last 10% or so that we are looking at. And again, what was on the books, we have not seen any price slide, any deterioration from what we’ve booked for an annual basis but what we did see as we are rounding out our second half book pricing did slide again as we set across the whole year that 1%. When I look quarter-to-quarter sequentially 1Q, obviously 1Q is the best because you get the carryover from last year pricing but when I look at 2Q, then sequentially 3Q, 4Q based on our current book, it has as I said, stabilized out.
Michael Gambardella – JPMorgan: And there is the final question just on the competitive nature electrode market. You mentioned the increasing in capacity in China which has been going on for while and I thought it was basically that China have added capacity over the last several years and they went from being a net importer to slight net exporter. Are you seeing incremental tonnes coming out of China even beyond that slight net exporter position?
Joel Hawthorne: Yes, let me make sure, I talked earlier, Mike -- on capacity in China. Capacity, I mentioned was isomolded we are talking about isomolded not graphite electrode.
Michael Gambardella – JPMorgan: Okay. Alright.
Joel Hawthorne: Just to clarify my earlier thought, the discussion was regarding isomolded capacity in China. We have not seen any significant change and again what we talked about prior calls on China capacity and their whole market in exports. We see a kind of relatively the same what we have seen this whole year.
Michael Gambardella – JPMorgan: So on the electrode pricing weakness, is that a function of incremental supply from non-Chinese producers or is it a demand function or the combination of the two?
Joel Hawthorne: I think it's a demand obviously looks pretty good, I mean if you look EAF production and you see incrementally it’s increasing demand out there for EAF and for graphite electrodes, it has been increasing as I said our volumes have been increasing. So I think the pressure on price is still coming as the supply side is working out, the rationalization of ourselves other players in the industry to come to what their new balance may look like. So clearly what we saw was more supply side demand is still out there for EAF good and I think we will continue to be good. Our view is we will continue to improve obviously the second half going into 2015 and then the supply demand of graphite electrode is balancing out as the market adjusts to all the rationalization initiatives.
Michael Gambardella – JPMorgan: And just final question on this EAF, production grow out, are you seeing the consumption of electrodes per tonne of EAF? Has that stopped going up in terms of the larger furnaces require less electrodes per tonne, have you seen that trend stabilize or is that still continuing?
Joel Hawthorne: The trend for specific assumption as we reported in 10K on average across the globe it's kind of stabilized. Obviously as you mentioned the newer or more modern furnaces that get put in, are at a lower end of that scale as they are more efficient but the average again what we see in our database the furnaces around the world is kind of stabilized but as new furnaces are added right new capability to EAF there is – they do come at lower consumptions.
Michael Gambardella – JPMorgan: Okay. Thanks Joel.
Joel Hawthorne: Okay. Thanks Mike. Appreciate it.
Operator: And your next question is from the line of Sal Tharani with Goldman Sachs.
Sal Tharani - Goldman Sachs: Good morning, Joe. How are you?
Joel Hawthorne: Good Sal, how are you doing?
Sal Tharani - Goldman Sachs: I am very well. I have a specific question on your comment about the Seadrift unplanned outage. You were able to still handle the customer request through your inventory. Help me to understand, was there something you were building or is it a normal case that you always have inventory and what is the level usually is that, are you going to have – are you replacing that inventory if that's the normal inventory?
Joel Hawthorne: At Seadrift coming out the outage, obviously we were at a lower end of what we would normally like to carry for our inventory but we had enough through July again the hit customer orders, third party orders no problem. Our plan is we will make that up obviously throughout the rest of the year so when we get to the end of the year, we are back to what we deemed to be the appropriate inventory of how we operate Seadrift based on our intercompany shipment and third party sales. The overall inventory, the question when we look at inventory, again as I mentioned $115 million reduction of inventory, the levels and appropriate levels inventory of Seadrift are graphite electrode is all factored in getting to that level and again we are seeing us bring down the raw material side of the equation, needle coke inventories but we will continue to see our graphite electrode inventories also decline as we head to the end of the year to get to the right place of our inventory levels. But through July we had a good inventory. Again coming down to the outage, lower that what we normally like to see in carrying throughout the rest of the year we will get back to that level. As we exit the year, we will be in a good position with Seadrift and our needle coke inventory levels.
Sal Tharani - Goldman Sachs: So you will be running needle coke full orders some of that actually will go to just replace little bit of inventory and do you know how many – can you tell us how much inventory, how many days of inventory you usually carry for the Seadrift?
Joel Hawthorne: No, we don't disclose that but you are absolutely right in your comments that some will be going to replace the production to get back to our normal level. So one way to look at it is we – our capacity, public capacity at Seadrift if you look at the – we try to carry basically one month plus or minus of that on hand in various stages. That will give you a kind of an idea.
Sal Tharani - Goldman Sachs: Got you. And also you have – has Seadrift announced also the price increase which it does usually around this time of the year?
Joel Hawthorne: We have not for needle coke again assessing the market and again just like we do for electrodes in 2015, we usually look to around late August, early September time period to gauge the market for ’15 and what we see we could do on price, both for needle coke and electrodes.
Sal Tharani - Goldman Sachs: Over the coming weeks, you may put something on the website as an announcement for the price increase or price whatever the price for 2015 you should be you think you should be and in the second half price as you will announce.
Joel Hawthorne: Well once we conclude, we won't announce for needle coke any second half pricing, Again once you conclude our view of the market, again we will go to our customers and let them know what we think, here is the view of pricing based on what we see going into 2015.
Sal Tharani - Goldman Sachs: And what you see in needle coke price, I mean you mentioned electrode price has stabilized in second half after declining 10% for the first half, what are you seeing in needle coke?
Joel Hawthorne: I think in needle coke, I would comment, there is pressure out there in needle coke but it is stabilizing also just like in electrodes we are seeing pressure throughout the first half and as we stabilized contract again our third party sales in needle coke are again pretty much on annual basis are negotiated earlier but obviously we see the market of needle coke from a graphite electrode perspective because we gauge it there and again we see it stabilized. Going forward, again it’s going to be the needle coke guys’ view of what their cost pressures they see, what returns they want and what value they think they could pushed into the market going into 2015 and I think we’ll all assess that and t see that obviously when get into the fall.
Sal Tharani - Goldman Sachs: Okay, great. Thank you.
Joel Hawthorne: Thanks, Sal.
Operator: And there are no further questions at this time.
Joel Hawthorne: Okay. Kimberly thanks. Let me just kind of conclude our call again today, thanking everybody for their time and for the questions and their interest in GrafTech and obviously I look forward to update everybody on our progress at the end of third quarter. Thanks again, have a great day.
Operator: This will conclude today’s conference call. You may now disconnect.